Operator: Good day and welcome to the Altria Group 2014 First Quarter Earnings Conference Call. Today’s, call is scheduled to last about one hour including remarks by Altria’s management and the question-and-answer session. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Representatives of the investment community and media on the call will be able to ask questions following the conclusion of the prepared remarks. I would now like to turn the call over to Ms. Sarah Knakmus, Vice President, Investor Relations for Altria Client Services. Please go ahead ma’am.
Sarah Knakmus: Thank you. Good morning and thank you for joining us. We are here this morning with Marty Barrington, Altria’s Chairman and CEO; and Howard Willard, Altria’s CFO to talk about Altria’s results for the first quarter of 2014. During our call today unless otherwise stated, results are being compared to the same period in 2013. Earlier today we issued a press release regarding our first quarter results. For a detailed review of Altria’s business results please review the earnings release on our website at altria.com. Our remarks contain forward-looking and cautionary statements and projection of future results. And we direct your attention to the forward-looking and cautionary statement section at the end of today’s earnings release to review various factors that could cause actual results to differ materially from projections. Altria reports its financial results in accordance with the U.S. generally accepted accounting principles. Today’s call will contain various operating results on both a reported and adjusted basis which exclude items that affects the comparability of reported results. Descriptions of these measures and reconciliations are included in today’s earnings press release and are available on our website. Now I will turn the call over to Marty.
Martin Barrington: Thank you Sarah. Good morning everyone and thanks for joining our call. Altria continued to make excellent progress against its key strategies in the first quarter of 2014. Our maximizing our core premium tobacco businesses over the long-term and making disciplined investments to grow new income streams with innovative products. Altria grew 2014 first quarter adjusted diluted EPS by 5.6% behind the strong performance from our smokeless product segment and growth in our smokeless product segment. Lower financing costs also contributed to adjusted diluted EPS growth in the quarter. So we’re off to a good start against our full year objectives. Here are the highlights from the quarter. Our smokeless products segment continued to deliver against its strategy of maximizing income while maintaining modest share momentum on Marlboro over time. The segment produced strong adjusted operating company’s income growth of 6.4% and expanded its adjusted operating company’s income margin primarily through higher pricing. PM USA’s 2014 first quarter, reported shipment volume decreased 2.5% primarily due to the industries decline partially offset by changes in trade inventories and retail share gains. PM USA’s income and volume performance benefited from modestly higher wholesale inventories compared to the same period last year, though we expect inventory levels to moderate as we move through the year. Marlboro continues to be strong at 43.8 share points, larger than the next 10 brands combined. PM USA successfully grew Marlboro’s retail share behind investments in the Marlboro architecture and grew its total share of the cigarette category driven by Marlboro and L&M in the discount segment. Turning to smokeless products, the segment grew first quarter operating company’s income by 7.75% primarily through higher volume. The segment also grew Copenhagen and Skoal’s combined volume and retail share behind another strong quarter for Copenhagen Long Cut Wintergreen, which now has posted 14 consecutive quarters of retail share gains. During the first quarter USSTC began implementing strategies to enhance Skoal’s equity and carefully manage Skoal Classic price gaps in select geographies. These strategies including changes to Skoal’s promotional plan resulted in some retail inventory movements that negatively impacted USSTC’s first quarter shipment volume. While these short-term dynamics also may impact the segments second quarter results, USSTC’s strategy should strengthen the brand over the long-term and we’re encouraged by the early results. This strong performance by our core tobacco businesses was partially offset by comparatively lower gains on asset sales at Philip Morris Capital Corporation and lower earnings from our equity investment in SABMiller, primarily due to gains from common stock, issuances in the first quarter of 2013. Moving to innovator products, Nu Mark continues to make excellent progress against its long-term goal of achieving e-vapor leadership. The company is on track to begin its rolling national launch of MarkTen in June. And earlier this month Nu Mark completed its acquisition of Green Smoke adding significant e-vapor experience, broadening Nu Mark’s product offerings and strengthening its supply chain capabilities. We’re happy to welcome Green Smoke’s talented employees to our team. And of course Altria continues to focus on returning large amounts of cash to shareholders. During the first quarter, Altria paid $957 million in dividends and purchased shares valued at approximately $272 million. So to start off we’re pleased with our first quarter performance and we’re continuing to focus on our key strategies, strong consistent results for the long-term. Altria reaffirms its guidance for 2014 full year adjusted diluted EPS to be in a range of $2.52 to $2.59, representing a growth rate of 6% to 9% from an adjusted diluted EPS base of $2.38 in 2013. We expect stronger adjusted diluted EPS growth in the second half of the year compared to the first half driven by various factors including lower fourth quarter costs in the smokable products segment due to the end of the quota by our payments and a significantly lower fourth quarter tax rate compared to the year-ago period resulting from our 2013 debt tender offer. I’ll turn things over to Howard who will discuss Altria’s business results in more detail.
Howard Willard III: Thank you Marty, good morning everyone. As Marty mentioned our smokable products segment delivered strong first quarter results. The segment grew adjusted operating company’s income by 6.4% to over $1.5 billion and expanded its adjusted operating company’s income margin by 2.2 percentage points to 44.1%. Adjusted operating company’s income growth was primarily driven by higher pricing, partially offset by lower volume. The smokable product segments reported operating company’s income declined 20.3% primarily due to the NPM adjustment settlement in the first quarter of 2013 and lower volume partially offset by higher pricing. After adjusting for changes in trade inventories PM USA estimates that its first quarter domestic cigarette shipment volume declined approximately 3.5% less than the category decline rate which PM USA estimates was about 4%. PM USA grew Marlboro’s wealth share by 2/10s of a percentage point to 43.8% and increased its total category retail share by 2/10s of a percentage point behind gains from Marlboro and L&M in the discount segment. These gains were partially offset by share losses on other portfolio brands. In cigars Middleton grew Black & Mild’s first quarter retail share by 3/10s of a percentage point. Our shipment volume was essentially flat. Our smokeless product segment grew operating company’s income by 7.7% to almost $240 million driven by the higher volume and higher pricing partially offset by increased promotional spending. The segment also expanded its operating company’s income margin by 1.1 percentage points to 62.1%. USSTC and PM USA grew combined reported domestic smokeless products shipped volume by 5.9% in the first quarter primarily due to volume growth for Copenhagen partially offset by declines for Skoal. The segments first quarter reported volume benefited from an extra shipping day, it was partially offset by changes in trade inventories. After adjusting for calendar differences and changes in trade inventories USSTC and PM USA estimate that their combined domestic smokeless product shipment volume increased approximately 4% for the quarter. Our smokeless products category volume grew at approximately 5.5% over the last 12 months. USSTC grew Copenhagen’s and Skoal’s combined first quarter volume by 6.3%. USSTC also grew Copenhagen and Skoal’s combined retail share by 2/10’s of a percentage point to 50.8% driven by Copenhagen. Turning to innovative products Nu Mark continues to use its two MarkTen e-cigarettes test markets to refine the brand value equation. For example Nu Mark has experimented the different tools for creating awareness in trial in Arizona. While brand shares continue to move over time as manufacturers change promotion levels. MarkTen remain the leading e-vapor brand in Arizona during the first quarter. Nu Mark’s test markets are providing valuable insights that we used to compete for category leadership over the long-term. In the wine segment, Ste. Michelle grew first quarter operating company’s income by 10% primarily driven by improved premium mix. Ste. Michelle’s wine shipment volume increased 1.1% primarily driven by increased distribution of 14 Hands, partially offset by changes in trade inventories. That wraps up our operating results. Marty and I will now take your questions while the calls are being compiled let me cover a few first quarter housekeeping items. Marlboro’s price gap versus the lowest effective cigarette was 33%. Marlboro’s net pack price was $5.91 up from $5.80 in the first quarter of 2013. The lowest effective price cigarette was $4.43 up $0.10 from the first quarter of 2013. The cigarette discount segment’s retail share was 25.1% down from 25.5% in the first quarter of 2013. The estimated weighted average cigarette state excise tax at the end of the first quarter was $1.48 per pack up $0.06 cents from the end of the first quarter of 2013. Copenhagen’s price gap versus the leading discount brand was 32%. Copenhagen’s retail price was $4.09 dollars up from $4.07 in the first quarter of 2013. The price of the leading discount brand was $3.10 up $0.11 from the first quarter of 2013. CapEx was $27 million and ongoing depreciation and amortization was $50 million. Operator do we have any questions?
Operator: [Operator Instructions] Your first question comes from the line of Owen Bennett of Nomura.
Owen Bennett – Nomura: Couple of questions please. And firstly I was just wondering if you’ve got any comment on the pending deeming regulation announcement it’s been in news article this morning and how you expect this to impact both your e-cigarette and cigar growth. And then secondly obviously you had a very strong margin performance in the quarter particularly in smokeless. I was just wondering what was driving this and how we can expect margins to play out into the rest of the year and ignoring fourth quarter release from the tobacco file closure. Thank you.
Martin Barrington: Thanks for calling in. I don’t have a comment on the deeming because I haven’t read them yet. I guess the release – even as we’re on the call here so I’ve read only the press reports this morning and I’d like to read them before I comment on them. With respect to margins you’re right to point out that we did have good margin performance, we had a growth in smokeless, growth in the smokeless and that’s all consistent with our strategies in the core tobacco business which is to grow our income in smokeless maximize our income in the smokeless segment. And then to grow our income to volume growth in smokeless so I don’t know how you want to say more a quarter –
Howard Willard III: No I might think, I think certainly in the first quarter we had 3.8% revenue growth for tax basis in smokeless. And that was a strong driver in the first quarter. And I think you said it’s consistent with our strategy maximizing profitability.
Operator: Your next question comes from the line of David Adelman of Morgan Stanley.
David Adelman – Morgan Stanley: Marty two things I wanted to ask you first the comment about faster second-half earnings-per-share growth and the alluding to the absent of the quarter buyout costs in the fourth quarter. That obviously only flatters your profitability if the pricing would have more or less be as it would have been otherwise. In other words do you or the industry collectively promote that away, it wouldn’t have that benefit. So implicating what you’re saying about the outlook for the fourth quarter is it your intent and hope to capture at least some of that net cost reduction benefit?
Martin Barrington: Well I think it’s consistent with what we said before when we talked about quarter which is if you’re trying to maximize your income in the smokeless segment, you obviously want to take every opportunity you can to do that and that’s how we’re thinking about that.
David Adelman – Morgan Stanley: Okay and then that’s a good takeaway to my second question which is to talk about pricing and your attitude and approach to pricing and the smokeless business Marty because the positive during the quarter, last year profits have been growing, 7% that’s not shabby but the really hasn’t been any net pricing in the last couple years. I mean do aspire to get to a point and a place where you can add to volume growth with net pricing. And what’s holding it back is it the, is it the performance of Skoal, is it the competitive environment and discount brands etcetera.
Martin Barrington: Yeah sure let’s go back. What I’d say first of all is remember for us and our smokeless business we have margins above 62%. So of course you can always have a better net pricing realization but in the category that has margins like that and that were the category is growing. We can grow our income very nicely and remember what we’re trying to do there is, is to grow that income off of the volume in line with the category growth and then to have modest share momentum on Copenhagen and Skoal. So that’s the approach and I think in CAGNY we did a fairly good job I think of laying out how that’s played out over the last five years since we got the business and whether it’s on volume growth or income growth we’ve really grown these business very nicely. Copenhagen of course has taken off well and we’re now working on Skoal.
Operator: Your next question comes from the line of Nik Modi of RBC Capital Markets.
Nik Modi – RBC Capital Markets: Two questions. First is on, I’m just its kind of interesting how the weather was so disastrous in the US weeks of January and February and this earning season broadly speaking companies really haven’t seen any impact. So I’m just curious on your kind of state of union on the consumer, is the consumer stronger than we’ll thought? As we started off the year and then the second question is, now that the Green Smoke acquisition is closed, curious on if you plan on kind of launching it nationally in conjunction with MarkTen so you have kind of two, two different blends in the marketplace to try capture as much growth as you can.
Martin Barrington: Look with respect to the whether we could see some disruptions from time-to-time but actually it didn’t really translate into a drag on other operating or our financial performance. With respect to the adult tobacco consumer I don’t think that our view has changed since last we spoke about this. Given the unemployment and the underemployment rates and labor participation rates in the like and consumer confidence still being better but nowhere where it needs to be. We’re hopeful that things are going to improve but our operating plans from 14 assume that the adult tobacco consumers going to be cautious as was in ‘13. Good question about Green Smoke, we closed on Green Smoke and we’re working now, we have our integration teams working on supply chain and marketing and the like. Our launch though, nationally will be focused on MarkTen and then obviously Green Smoke has retail opportunities in the US and we’ll be working on that, but that’s not a part of the national plan.
Nik Modi – RBC Capital Markets: And Marty one just follow-up to that. It strikes to me that the innovation cycles and the e-cig category are much more rapid obviously when the traditional cigarette and tobacco businesses. What is Altria doing just from a capability standpoint to kind of prepare for so it’s kind of a faster innovation timeline? It seems like most companies are struggling right now, they have the next generation of products but they can’t launch them because they still have their existing products in the marketplace. I was just curious on your view?
Martin Barrington: Yeah, that’s another good question. We actually started back on this Nick a couple of years ago to really improve our innovation system as a whole. We thought that we had opportunities to get faster, to develop better consumer insights and to more rapidly turn them into products to satisfy their needs. So we’ve actually been after this, not just on e-cigarettes but on all of our business just for about two years now. We’ve made significant improvements I’d like to think in the system itself. And then with respect to e-vapor, you’re right to point out that the learning cycles are shorter. And so we were working very hard on our consumer insight system in our market reach systems to make sure that those systems are adjusted to give us quicker reads on what’s happening with the consumer and in the marketplace. And we’re using lots of techniques like ethnography and other techniques to make sure we’re staying close to that consumer because they’re moving around a bit.
Operator: Our next question comes from the line of Judy Hong of Goldman Sachs.
Judy Hong – Goldman Sachs: So my first question is just really trying to better understand your investment spending behind the Nu Mark and MarkTen specifically just looking at the all others segment with a loss of $1 million, it’s actually a little bit better sequentially from the fourth quarter. So trying to strip out what would PMCC versus your investment on Nu Mark. And then as you prepare for the national launch in June we see a step up in terms of the spending particularly in the second quarter there. So just kind of any help on your thoughts on the investment spending there?
Howard Willard III: Sure Judy, this is Howard. I think as you look at the year-over-year comparisons in the other segments, I think first quarter reflects what we’ve said during the course of the year, which is we’ve had unfavorable comparisons year-over-year on PMCC. And we’ve also increase our investment related to Nu Mark, and I think as we move into the second quarter you’re going to continue to see trends of us continuing to invest in Nu Mark as we ramp after that national launch in June.
Judy Hong – Goldman Sachs: If I can follow from that Howard because just in terms of thinking about items, there’s a lot of moving parts below the line. So if you can just help us understand just in terms of the interest expense because you did see a big drop off and if we just pick the run rate for Q1 it’s a pretty meaningful decline in terms of the interest expenses. And then just in terms of the SAB Miller seems like that’s coming in on a year-over-year basis, more of a drag in terms of your guidance. So any help you can provide us in terms of Q1 below the line and then how we should think about that for the rest of the year?
Howard Willard III: Certainly, I refer back to our annual guidance and I think you are right that this is going to be a bit of a unique year in that as the quarters unfold, you might have different trends in the quarters then that are reflected in the total year performance. And certainly that’s reflected in the first quarter related to SAB Miller. IN SAB Miller we actually had unfavorable year-over-year trend, although that was really driven by the fact that SAB Miller issued more stock in the first quarter of last year than they did in the first quarter of this year that has a negative impact on our earnings. If you actually looked at the performance excluding that SAB Miller had a growth in the quarter. So I think that certainly was a unique impact in the first quarter with regard to SAB Miller. We’ve already communicated that on an annual basis, because of the strong asset sales in the past from PMCC, if those slowdown, there’s going to be an unfavorable impact. But then of course below the operating company’s income line there were number of favorability for the year. And you started to see the interest decline in the first quarter with certainly benefited earnings and that’ll continue to unfold through the year. You also see it in our cash rates on adjusted income basis has come down in the quarter. And that is going to be reflected through the total year. And then of course there’s an impact on EPS growth from our share repurchase program. So there were certainly a number of positives in the quarter including a strong performance on the smokeless segment, but that is being offset by SAB Miller, by PMCC and some investments in Nu Mark. Although ultimately resulting that we thought was a nice 5.6% EPS growth for the quarter.
Judy Hong – Goldman Sachs: Is the run rate for the interest expense for the year a 2-1 run rate, it should be what we should be using?
Howard Willard III: Yeah, I don’t know that you can just take an annualized in first quarter because there were a number of different things that happened last year. But certainly you should expect to see a nice favorable interest impact for the total year just like we had a nice favorable interest impact in the first quarter.
Judy Hong – Goldman Sachs: Okay, and then Marty I just wanted to go back to sort of the cigarette industry consumption question. And the question just really is more just thinking about the longer-term run rate because clearly you have smokeless and some of these other tobacco products that have grown pretty nicely, and also just thinking about your MarkTen launch in a couple of test markets. What do you see in terms of substitutability and kind of the trade-off you’re seeing on cigarette consumption versus e-cigarettes? So is it really the decline for cigarette consumption, even if we come out of the economy in the more challenging economic conditions is the decline really going to accelerated just because all these other tobacco products really grow at a faster pace?
Martin Barrington: That question comes up a lot, but there’s no reason to think that right now. We don’t predict to the consumption decline rate going forward but we do look at a number of factors as you know. And what have we seen is that over the last several years it’s really been 3% to 4% and that’s been through periods when there have been other products that come into the marketplace. E-cigarettes I would argue being just among the last, so is it possible that it could speed up or head the other way I suppose anything is possible. But when we look at the data and we look at it pretty carefully to see if there are any new drivers that would change what the historical rate has been, at least right now Judy we don’t see that. Our model as is to use an estimate of secular decline of call it 2% to 3% in that neighborhood and embedded in that in our model are people who are trying other products or even indeed migrating to other products. And that seems like that plus the historical price elasticity still seems to do a pretty good job of explaining the decline rate.
Judy Hong – Goldman Sachs: And the test markets that you’ve launched MarkTen, any difference that you’re noticing in terms of the cigarette consumption behavior?
Martin Barrington: But that’s pretty early there with respect to the test markets to be reading that.
Judy Hong – Goldman Sachs: Okay, thank you.
Martin Barrington: Judy, thanks for calling.
Operator: Your next question comes from the line of Bonnie Herzog from Wells Fargo.
Bonnie Herzog – Wells Fargo: Hi, I have a two part question on Marlboro. First could you drill down further on what drove the share gains and then how much of the gains were driven by your relatively new line extensions or has your core Marlboro improved and contributed to the gains. And then second I’d be curious to hear from you how you’re going to balance keeping your eye on your core Marlboro brand and then innovation behind the brand while also focusing on driving innovation e-cigs. I know you touched on this a little bit but just wanted to hear from you how you think about the targets for the businesses?
Martin Barrington: Sure, let me start with Marlboro. I think the answer to Marlboro lies in the main in the implementation of the Marlboro architecture which is itself a terrific example of innovation in the business. So you know the story behind the Marlboro architecture, I won’t repeat it, but what we see there is that by employing it we’ve been able to reach out in different ways to adult smokers. You take Marlboro Black, which is doing extremely well and then really the Marlboro architecture along with innovation say on Marlboro.com the age restricted website and you’ll like, has really helped Marlboro grow in the way that it wants to grow. I would also say if you look at Marlboro’s historical share growth, it’s completely consistent with that. So I think that’s the answer on Marlboro and so far we’ve been able to execute our strategy well I think of maximizing income while keeping Marlboro on a good momentum pad. The way we describe the answer to your question about how can you focus on your core business while also paying attention to innovation is almost exactly like that. We call it maximizing the core business while innovating through the future. And our organization is filled with enough talented people and we have enough resources to develop that. I just don’t accept the notion that the world is so binary as you have to do one of the other. And I think that you’ve been able to see that recently. We continue to maximize the income that comes out of our core tobacco businesses at the same time we’ve entered e-vapor space. We created our own product. We’ve been into test markets we’ve done a transaction with PMI to hopefully sell those products internationally. And now we’ve done a very nice tack on acquisition to improve our capability in such things as the supply chain and entrepreneurial culture. And you know what I’m very proud of the organization. We have really I think done quite a good job of describing this to our people and where we’re going and how we’re going to get there. And I am very proud of the work that’s been done in that regard.
Bonnie Herzog – Wells Fargo: Okay that’s helpful looking at other companies. Historically a lot of times they feel as they, they start to chase growth and maybe lose focus on the core so I think it’s just something to make sure you guys are paying attention to, that was very helpful. And then my question is a little bit of a follow on in terms of your approach to building your e-cig business. You did mention you’re going to make disciplined investments. So I’m curious to hear, how willing you are to let this business be a drag on your earnings or how should we think about this in the next couple of years in terms of the potential impact on earnings?
Martin Barrington: Well we think about it is through our mission. And our mission is to satisfy adult tobacco consumers. And if adult tobacco consumers want to move to innovative products like e-vapor probably won’t be the last by the way, there’ll be other products that they want to try. Particularly those, that may hold out the promise for less harm if the FDA were to approve them. I think it’s the wrong approach to try to run the business in a way to hold that back. We’re in the job of satisfying our adult tobacco consumers. And we’re going to have products for them that are premium and then have margin and they done responsibly. And that’s how we think about it. And so it’s about understanding your consumer and trying to give them what they want. All the while of course paying attention in keeping the word discipline is important. And we use that word deliberately so that we keep our eye on our core businesses.
Howard Willard III: I think this is Howard. I do think, we remain committed to our long-term EPS growth of 7% to 9% and continuing to return a large amount of cash to shareholders 80% payout ratio. And as we see it now we think the different levers we have to pull and the strength of our business platform auto allow us to make the appropriate investments and stay consistent with our long-term strategy.
Bonnie Herzog – Wells Fargo: Alright very helpful. Thank you.
Operator: Your next question comes from the line of Chris Gowe of Stifel.
Chris Gowe – Stifel: I just had two questions for you if I could. First would be asking before about you’ve got a pretty healthy stream of new products while the industry’s been a little – to little slower just due to the FDA approvals. And we had more of those theoretically coming off from the FDA. So, maybe from what your portfolio in addition of new products but do you expect to see an increased activity with these new FDA approvals coming out over the next few months?
Martin Barrington: I suppose so I mean they have seen that FDA issued new performance metrics about how it’s going to try to turn FET’s faster beginning with fiscal year 2015 and they had some increase from various people about the time that’s taken of FET so I can only talk about ours of course but we remain I think with a very healthy portfolio. Ultimately of course that’s the way the industry’s is going to work. The FDA is going to have to look at new products and approval.
Chris Gowe – Stifel: And then just a question in relation to taxes there’s obviously an FET proposal for this year. I just want to get a sense of what you’re expecting at this early stage of the year for bit of sales tax increases for the year do you see this year a larger than average volume this year?
Martin Barrington: Well I hope no and we’ve working very hard to make that not happen with many others. So far be activity Chris has been very active in terms of proposals but actually fairly modest in terms of passage. So we don’t have any FETs to memory that had passed so far this year although there have been lots of proposals. And there remain proposals in the state houses so our government authority is hard to have that. The FET is still hanging around out there although it is not seen at this moment in time anyway to have gain to lot of traction.
Chris Gowe – Stifel: Okay and just if I could ask one quick one maybe to Howard in relation to share repurchase activity you have some are you able to renew since the third quarter but my calculation you got a lot of free cash flow as well still coming through this year so are there any other unusual need for that cash that maybe keeping from being a little more aggressive the share repurchase activity this year.
Howard Willard III: Well I think you’re right to point out this, on the current program we are coming towards the end of it. We got about $187 million left and our normal practice has been that most of the cash returned to shareholders come through our 80% dividend payout ratio but opportunistically we’ll do some share repurchase. So additional share repurchase is sure to be a discussion topic here over the next several months. And I think with regard to incremental cash needs going forward, I don’t think we see that there are dramatically different incremental needs going forward than we’ve had over the last year. So, certainly use of cash for something, we’ll be looking at over the next few months.
Operator: [Operator Instructions] Your next question comes from the line of Michael Lavery of CLSA.
Michael Lavery – CLSA: I guess the most conspicuously Epsilon is in the mention of those competitive impact from new product launches in your largest non-menthol, non-full flavor segment. Can you just give a little color there, you’ve gained share and since 3Q your price mix seems to have accelerated. How does that look, I mean obviously you’re getting on just time, can you give a sense of kind of what you’re seeing in the market you’re in?
Martin Barrington: I think PM USA; the short answer is PM USA’s have done a heck of a good job of managing its plans. We say this at the beginning of the year; it’s a good reminder to us actually. When we do our planning we take everything into account including the fact that, competitors will launch products from time-to-time. And so we don’t disclose how we think about that or the actions that PM USA takes to protect its franchise. But you’re right to point out I think, that the metrics of its performance in the face of that and other challenges really speaks to the strength of the PM USA franchise.
Michael Lavery – CLSA: Okay, that’s fair and then just looking back at PMCC, versus about three years ago your asset balance there is less than half what it was. And certainly if you had asset the sale run rate that you did over the last few years that business would entirely go away in two and a half or so years. But I realized there are some assets that don’t make sense to sell for any of a combination of reasons. And there’s probably a little bit of a long tail. Just looking ahead can you give us a sense of what you expect in terms of the split in that segment it’s income between sales and just ongoing operations? Are there still sales that makes sense to do, are they going to be sporadic or few and far between. Can you just give some color on kind of how the outlook is there?
Howard Willard III: Sure. I think you’ve accessed PMCC about right, which is our goal really has been to rapidly unwind that business, but to do it in a way that is maximizing the profit and cash flow that Altria gets from it. And so we’re pleased to see that we’re down to a net finance receivable of only about $2 billion down quite significantly. Frankly our goal with an eye towards still having an appropriate earnings impact and cash flow impact is to unwind that business as quickly as possible because we think that our focus really is elsewhere at this time. I would say that we’ve had quite strong asset sales over the last couple of years. I would expect to see those asset sales continue but at a lower rate. And that’s really what our belief is and I think that what results from that is the results we’ll continue to get an income contribution from that business, the year-over-year comparisons. Certainly for this year are likely to be unfavorable and it’s going to be lumpy in any given quarter. You’re going to see part of the variance in that quarter driven by what goes on at PMCC. I think the good news is as you’ve pointed out, the business is a much smaller part of Altria now. And I think its impact is going to diminish greatly here over the next year or two.
Michael Lavery – CLSA: That’s helpful. And then just lastly this is me picking your wording a little that you mentioned in your release closing the Green Smoke deal and its affiliates, does it have any notable affiliates or like maybe a vaporizer business or anything that you might be looking at that’s interesting or is that just sort of terminology that doesn’t really –?
Howard Willard III: We just meant to describe that there was more than one company in that family, but the business is exactly as we described it before.
Michael Lavery – CLSA: Okay, great. Thank you very much.
Operator: Thank you at this time, I’d now like to turn the call over to Miss Sarah Knakmus for closing comments.
Sarah Knakmus: Thank you everyone for joining our call this morning. If you have any follow up questions please contact us at Investor Relations.